Operator: Good day and welcome to the Customers Bancorp second quarter 2015 earnings conference call. Today's conference is being recorded. And this time, I would like to turn the conference over to Mr. Ted Haberfield, President MZ North America. Please go ahead, sir.
Ted Haberfield: Thank you, operator and good morning, everyone. Customers Bancorp's second quarter 2015 earnings release was issued last night after the close and is also posted on the company's website at www.customersbank.com along with the accompanying presentation. Representing the company today are Jay Sidhu, Chairman and Chief Executive Officer and Bob Wahlman, Chief Financial Officer. Before we begin, we would like to remind you that some of the statements we make today may be considered forward-looking. These forward-looking statements are subject to a number of risks and uncertainties that could cause actual performance or results to differ materially including the risk that the results are different than currently anticipated. Please note that these forward-looking statements speak only as of the date of this presentation and we undertake no obligation to update these forward-looking statements in light of new information or future events except to the extent required by applicable securities laws. Please refer to our SEC filings including our report on Form 10-K and 10-Q that we file with the SEC and for a more detailed description of the risk factors that may affect our results. Copies may be obtained from the SEC or by visiting the Investor Relations section of our website. At this time, it is my pleasure to introduce Customers Bancorp's CEO, Jay Sidhu. Jay, the floor is yours.
Jay Sidhu: Thank you very much Ted and good morning, ladies and gentlemen. Thank you for dialing into our second quarter call. About this time yesterday morning, I was really looking forward to reporting to you record earnings of $0.52 this year for second quarter 2015, when our risk management teams picked up a potential fraud committed by one of our Pennsylvania-based commercial customers. I will talk more about this and why we are absolutely convinced this was an isolated incident just a little bit later. First of all, let me begin with reviewing with you where we stand with our three publicly stated financial goals. They were number one, earnings per share of between $1.95 to $2 this year for 2015 and goals of achieving above the 15% growth rate in earnings going forward. Our second goal was, NIM between 2.75% to 3% and efficiency ratio of in the high-40s within two to three year. Our third goal was return on equity of about 12% and return on assets of about 1%, all within two to three years of beginning of 2015. Now regarding goal number one, which is EPS of between $1.95 and $2 per share for 2015, without this one unfortunate isolated incident, we expect we would have exceeded our guidance numbers and reported in excess of $2 per share of GAAP earnings for 2015. We do expect to report in excess of $1 per share in EPS for the second half of 2015. So, we remain on target in that. And regarding goal number two, which was NIM between 2.75% and 3% and efficiency ratio in the high-40s within two to three years. We are on target for this. Although this quarter's NIM is slightly below our targeted range, we believe that average NIM for the next few quarters will be over 2.75%. We have been aggressively lengthening our liabilities and focusing primarily on the growth of variable rate loans and swapping our fixed rate term loans into variable rate loans. We have also been involved in selling or delaying booking any term loan on our balance sheet. We believe this to be a very prudent risk mitigation strategy considering the guidance the Federal Reserve has given and giving to us regularly about the expected direction of short term rates. Our internal models showing about 4% or about $8 million increase in our non-interest income with an instantaneous 1% increase in short term rates. Regarding efficiency ratio, we are hopeful our efficiency ratio over the next few quarters will average in the high-40s. However, based upon our projections for expenses related to some infrastructure improvement, hiring more teams, compliance and also BankMobile, our efficiency ratio may go up temporarily to about 50% or so over the next two or three quarters and Bob will talk more about our efficiency ratios in his comments. Number three goal was return on equity of 12% and return on assets of about 1% within two to three years. As you know, we have achieved our return on equity goals and expect it to remain in the 12% or higher range over the next several quarters. Our core operating return on assets per quarter second quarter 2015 was 87 basis points. We believe our ROA next year will be close to 90 basis points, could even be higher as we go forward, including our growth related extraordinary expenses that we expect to see the remain in this kind of an environment. Our strategy has been to only focus on superior credit quality niches, except somewhat lower NIM, that is in the 2.75% or 3% range and make it up in lower efficiency ratios. Obviously, we are very disappointed about the fraud that I will discuss with you in a minute or two, but our model does work and that is why we are confident in we expect to meet or exceed our short-term and long-term goals that we have articulated for you. Now talking a little bit about this fraud incident. We in 2013 entered into a lending relationship with a local business in Pennsylvania for development of a facility in their core business. We accepted a letter of credit from a top 20 bank as incremental collateral. This letter of credit was verified by our relationship manager with the issuing bank. The loan has been current and deposit proceedings somewhat behind schedule. When this loan came up for renewal, we decided to exit this relationship as the customer was behind schedule. When we presented a letter of credit to the issuing bank two days ago, we were told yesterday that it was a fraudulent letter of credit. We immediately launched a full investigation and decided to take a specific reserve of $6 million immediately. We believe this to be still a potentially viable project and there is evidence that we may have full collection of our loan balance. However, we acted prudently by taking 100% of all possible collateral shortfall as a possible charge-off in the near future. Why do we believe this to be an isolated incident? Number one, we perform regularly loan quality reviews and remain very confident about our credit standard, our credit culture and the performance of all our loans. You can see that as evidenced by our very low nonperforming loans and our very strong coverage. It blows our mind to see reasonable well-established individuals come to believe that they can outsmart everybody, be above law by creating phony documents or numbers. This customer of ours was known to our team leaders in Pennsylvania for many years and has a team history. They claim their consultant or advisor got them into this mess. Whoever it was, we have a very thorough investigation launched and we will take all steps to call those who violated the law on our core of ethics completely responsible. If we find any processes or procedures that we can make them stronger or tightened further, we will learn from our mistakes and take steps to never repeat them. I take full responsibility for this unfortunate incident and assure you that we learn from this and this should not happen again. Enough on this for the time being. I would now like to hand over to Bob Wahlman to go over our financial results.
Bob Wahlman: Thank you, Jay and good morning, everyone and thank you for calling into Customers Bancorp earning call. As alluded by Jay, Customers is reporting Q2 2015 earnings of $11.6 million in net income and $11 million net income available to common shareholders after the preferred dividend or $0.39 per share. Adjusted for the $6 million provision for loan losses specific to the isolated, potentially fraudulent activity previously described with an after-tax effect of $3.9 million, Customers Q2 2015 non-GAAP core income was $14.9 million, or $0.52 per share. Looking at the components of the second quarter income, net interest income was $46.6 million for Q2 2015, up $9.6 million, or 26% from Q2 2014 and flat relative to Q1 2015. The increase in net interest income in Q2 2015 compared to Q2 2014 resulted from the $1.8 billion increase in loan balances or up 32%. Specifically, mortgage warehouse lending loan balances were up $920 million, or 86% commercial loans year-over-year include the CRE balances or up $531 million or 38% and multifamily loans are up $436 million or 24%. So very strong loan growth year-over-year. Total deposits also increased by $1.8 million to $5.5 billion as of June 30, 2015, an increase of 48% year-over-year. Non-interest-bearing DDA accounts increased $84 million or 12% to $584 million, money market accounts increased $821 million, or 50% to $2.5 billion and CDs increased $878 million, or 63% to $2.3 billion over the past 12 months. I think it is of note that our growth in our deposit liabilities was equal to our growth in loans over the past 12 months. This has been a target of ours also. Partially offsetting this very strong growth in loans and deposits over the past year was a 21 basis point compression in the net interest margin to 2.73% for the second quarter of 2015. While Customers has seen some limited compression in yields on the commercial loan portfolio, we have received or have experienced a 21 basis point compression in the mortgage warehouse portfolio and a smaller 15 basis point compression in the multifamily portfolio quarter-over-quarter. We did shorten the duration on the new multifamily loan portfolio from what we originated a year ago focusing on five year loans, which accounts for a significant portion of the multifamily loan yield decrease. And it was important for us to manage that duration liability. On the liability side, the cost of deposits has declined year-over-year by two basis points on $5.4 billion of deposits. However, the cost of borrowings increased 49 basis points due largely to $110 million of subordinated debt and $25 million of senior debt that was acquired at the end of Q2 2014. The subordinated debt counts as Tier 2 capital for regulatory capital purposes and was needed to support the $1.1 billion growth that we experienced with the loan portfolio and overall has contributed to our net income growth. Total borrowings have increased only $340 million year-over-year to $1.5 billion, the bulk of which are short-term borrowings from the FHLB used to fund that short-term variable rate mortgage loan portfolio. So overall interest earning assets were nine basis points lower at 3.49% in Q2 2015 compared to Q2 2014 and the cost of funds, including the subordinated debt raised to enable the increase in assets, increased 12 basis points to 280 basis points. On a sequential quarter basis, the Q2 2015 net interest margin of 2.73% was down 17 basis points versus the Q1 2015 net interest margin of 2.90%. The compression resulted largely from the Q1 2015 receipt of approximately $1.3 million in a special FHLB dividend which increased the net interest margin in the first quarter by approximately 10 basis points resulting in a decrease then in the second quarter when the special dividend was not received. Other significant items in the quarter-over-quarter comparison include lower prepayment fees in Q2 2015, down two basis points, cash payments received on fully amortized purchase credit impaired loans, down two basis point and cumulative adjustment on the purchase of one multi-family prepayments faster than what had been expected and that decreased the second quarter net interest margin by two basis points. Exclusive of these specific items, the yields on the loan portfolio deposits and borrowings were generally unchanged quarter-over-quarter. Q2 2015 non-interest income of $6.4 million is down $0.5 million from Q2 2014 and up $0.6 million from Q1 2015. The decrease in Q2 2015 compared to Q2 2014 results from the gain on sale of residential loans during Q2 2014 of approximately over $1 million and the loss on securities generating a small gain in Q2 2014 versus a small loss in Q2 2015. That was offset by $0.6 million increase in the mortgage warehouse transactional fees as the volume has increased significantly over volumes of the year ago and an increase in the income from bank owned life insurance as our investment in that asset has increased by 46% year-over-year to about $150 million. The increase of $0.6 million in the quarter-over-quarter result largely comes from $0.5 million higher mortgage warehouse transaction fees as the volume was higher. Regarding non-interest expenses, Q2 2015 expenses of $25.7 million was flat relative to Q2 2014 non-interest expenses of $25.2 million and are down $1.8 million compared to Q1 2015. There is a considerable variability in the expense amounts between Q2 2015 and Q2 2014 and Q1 2015 with compensation cost up $2.8 million and professional services up $900,000 over Q2 2014, resulting from the increases in the size of the bank required increased level of resources to conduct the bank's businesses and headcount at the end of the second quarter is approximately 450 versus 398 a year ago. These cost increases were offset in part by a $2.1 million decrease in the FDIC assessments, taxes and regulatory fees and a $1.7 million decrease in loan workout costs in OREO expenses Q2 2015 compared to Q2 2014. These expense decreases result largely from the timing of certain activities and events such as recoveries of past loan workout expenses from customers that have paid off or we collected from, sales of foreclosed properties at a again that were previously written down and valuation adjustments related to certain properties. These are sometimes chucky [ph] items in estimates of liabilities like taxes and regulatory charges. Customers also issued preferred stock in May 2015 and accrued preferred stock dividend, recognizing that the 57 million of preferred stock was outstanding proportion of the quarter and then expense accruals of approximately $500,000. No preferred stock was outstanding during Q2 of 2014 or Q1 of 2015. Regarding the provision for loan losses. As Jay had noted earlier in his comments, we recorded a Q2 provision for loan losses of $9.3 million. The $9.3 million provision includes a $6 million specific provisions for isolated case of potential fraud related to one loan with a total principal balance of $9 million. The circumstances of this loan appear to be unique and isolated to this one loan. In addition the Q2 2015 provision includes $1.3 million for the growth in the loan portfolio for the new loans and $4.4 million predominantly for amounts estimated to be paid back to the FDIC related to the assisted transactions due to clawback provisions and our performance in collecting loans significantly better than the FDIC's original expectations. This was offset in part by $2.4 million reduction of the provision resulting from Customers strong credit quality and low charge of experience in our need to periodically update our reserve provision for the different categories of loans that reflect our actual experience relative to our loan performance. Regarding asset quality, as of June 30, Customers is reporting nonperforming loans of only $10.5 million on its loan portfolio of $6.6 billion, or only 16 basis points. Of this amount, only $1.4 million or 0.02% relates to loans originated after 2009 and also as Jay pointed out, the $9 million loan that we have talked about earlier today have been performing according to its contractual terms and is not going [indiscernible]. I want to go back and revisit the expense management for just a few moments. Expense management is very important to Customers profitability as Jay was discussing. As we have regularly discussed with our investors, Customers is willing to take a little less yield in order to build a high quality loan portfolio, pay a little more for deposits in order to fund that portfolio and run an efficient bank operation. As we have discussed this morning, we have built a high quality loan portfolio. Our NPLs of 16 basis point is top drawer among the industry. Also we have funded the $1.8 billion loan portfolio growth over the past year with $1.8 billion increase in deposits. However, we have experienced a little -- we do have run with a tighter than peer net interest margin, but as we had talked about, we offset that tighter NIM we experienced with lower costs from operations than our peers in expenses. Our expense control is really a key differentiator for us. Our staff expenses are only 81 basis point of total assets in Q2 2015 compared to our peers of 1.34% and industry of 1.75%. Our occupancy expenses are just 19 basis points compared to peers of 35 basis points and industry of 33 basis points. Overall, our costs are 1.44% of total assets or 97 basis points, it's actually 1% better than our peers and 139 basis point better than the industry comparables. Our employees generate on average $431,000 in revenue per employee compared to $260,000 per employee for the industry and it is this expense focus that results in Customers' efficiency ratio of 48.4% for Q2 2014 compared to 58% for Q2 2014 and 52.8% for Q1 2015. While we continue to target an efficiency ratio in the 40s as Jay suggested, we believe that the efficiency ratio because of the investments and because of the compliance costs will be around 50% for the remainder of 2015. Jay, I will turn it back to you.
Jay Sidhu: Thank you very much, Bob. So as you heard, our deposits are up about $2 billion since last year. Our loans are up also about $1.8 billion since last year. Our credit quality has improved. It's very disappointing to see this fraud and over the first quarter this year, our deposits with about $600 million and our loans were up about $459 million. So we are really in the fundamental core business remain very strong. And where do we see our mortgage warehouse business looking forward? We expect it to be slower in the second half of the year. So that's why we are really beefing up our earning asset originations in what we call the banking the high net worth families or the multifamily business. You should expect a very significant growth in the second half of the year on our on balance sheet loans in the multifamily area. Our pricing over there will remain very disciplined. It's running approximately 3.5% on all the business that we are booking right now. Our commercial and industrial loan book of business remains very strong and should expect to see a much faster growth rate in the second half of the year in that business compared to the first half of the year. And in terms of the second quarter, we saw a lot of closings take place later on in the month of June. So we expect to benefit in net interest income and even go with lower mortgage warehouse outstanding expected in the second half of the year, but we don't expect to see any significant impact on our net interest income projections. Regarding BankMobile, we expect it to report by the first quarter of next year, which is in the first year of operation, at least the 25,000 accounts which equates to having a typical bank that would have opened up about 100 new branches in the first year at best high performing, they would have opened up approximately 20,000 new checking accounts, compared to us being able to open without any branches 25,000 new checking accounts. We are always being asked about guidance for 2016. And as I mentioned earlier, we are shooting for an average annual growth rate in earnings of about 15%. However, we are more bullish for 2016. Let me share with you our guidance for 2016. We expect to report somewhere between $2.40 to $2.50 in earnings per share in 2016 or at least a 20% growth rate in earnings. We are putting a press release out just now and as you can well imagine we have to put our 8-K out also on this guidance for 2016. We remain very bullish but we once again we regret to have to report this fraud, but it's an absolute isolated incident. I can assure you about that and we are going to try our best to collect every single dollar and that would be the day that we can tell you we are reversing some, if not all, of our special provisions. So with that, Tom, I ask you to please open it up for Q&A.
Operator: [Operator Instructions]. We will take our first question today from Bob Ramsey with Friedman, Billings, Ramsey.
Bob Ramsey: Hi. Good morning, guys. I appreciate the 2016 guidance that you have given. I am wondering if you could just talk a little bit about what the capital backdrop is in that guidance? Obviously tangible common equity drifted a little bit lower this quarter than last and so I am curious about your thoughts of capital through the end of the year? And whether there is any capital offering baked into that guidance?
Jay Sidhu: Bob, we are absolutely convinced that we have enough capital on both and enough to common equity on both right now and we have no intensions of issuing any common equity at all. So I want to be very clear about that. We expect to gradually start to increase our tangible common equity to our asset ratio. We have a guidance given. I think that we will have at least 50 basis points cushion in every single capital category above the Basel III fully implemented standard. So we remain committed to that. We will remain opportunistic to look at any opportunity that we see to keep up our capital ratios using sub debt or those kinds of capital options available to us, if we need to, because of the fluctuations that you normally see in our mortgage warehouse business that we might find it prudent to do that. But you should expect on an average capital ratios to be equal or higher next year.
Bob Ramsey: Okay. And is that true? I mean you are talking about sub debt with Tier 2 capital elements. Is it is a true for just tangible common equity? Is 6.1% this quarter an absolute floor for TCE? Or could that drift lower?
Jay Sidhu: No. TCE will not drift lower.
Bob Ramsey: Okay. Great. A coupe of follow-up questions on the fraud situation. I am curious if you could help me understand all the better maybe how you all can verify the letter of credit and then have that issuing bank come back and say the letter is fraudulent after the fact?
Jay Sidhu: Yes. Bob, as you know, we are investigating that. It could be a collusion involved over here with several parties involved, but it would be premature for me to comment on this anymore. But I tell you we will fully disclose that once we have completed our investigation. It was just yesterday at this time. You are raising a good question, but we have to go through a detailed investigation and we will hold people accountable and we will take every single step to collect. But you are absolutely right. We are going to other bank. We are going to pursue every single way that we can to collect.
Bob Ramsey: Okay. And what is the total size of the loan in question? And is that loan the only piece of the client relationship or are there other loans to the same client?
Jay Sidhu: No. The total charge of the loan is $9 million. We have other collateral over here which has a minimum value of $3 million. So we took the 100% of the collateral shortfall. Our letter of credit was actually bigger than $6 million. So this was an over collateralized loan. And so there are no other relationship with this client. This was a client of one of our team leaders for many, many years and it is very unfortunate that they claim that they got some guidance from a consultant who referred him to this bank and then got them a letter of credit which appears to be fictitious now.
Bob Ramsey: Okay. And then could you also give any color around what sort of type of business or industry this customer is in and what type of facility the loan was for?
Jay Sidhu: This could be a criminal activity. This could be a very serious bank fraud activity. So before we give you too much of color, I want to be sure that we have completed our investigation and we will inform you about that. And there are not too many businesses around in Pennsylvania and we just want to be little bit sensitive of not in any case getting into any legal issues of defamation et cetera, et cetera. So please understand our position.
Bob Ramsey: Okay.
Jay Sidhu: It is a small business. It's not a mortgage warehouse business. It's a C&I business and that's all I can say.
Bob Ramsey: Okay. And I take it at this point why you are fully reserved. You haven't actually charged off any of this exposure yet?
Jay Sidhu: That is correct.
Bob Ramsey: Okay. What were sort of total net charge-offs in the quarter? I couldn't find that anywhere in your release.
Bob Wahlman: The total charge-off, year-to-date, Bob is $1.99 million.
Bob Ramsey: Okay. And how much of it was in the second quarter? Remind me, was it about $1 million in the first, so I guess about the same in the second. Is that right?
Jay Sidhu: I want to say that's about right, Bob. I know that we went through this last quarter too.
Bob Ramsey: It would be great if you guys could include that in the release.
Bob Wahlman: It was $961,000 in the quarter.
Bob Ramsey: Great.
Jay Sidhu: We did offset that.
Bob Wahlman: Well, we put that in the release. Bob, the reason why it's a little bit confusing on some of our disclosures on the charge-offs and what not is because we have covered loans and uncovered loans. Bottom line is that our credit risk management group has done a tremendous job that we owe United States government and FDIC money. But in our charge-offs, we are actually as rightfully so, we are expected to maintain exactly the same treatment for all our charge-offs, whether they are guaranteed by the government or by FDIC or not. So all our internal reports combine FDIC guaranteed loans with the non-FDIC guaranteed loan, but now going forward since the FDIC covered loans are going to be disappearing in the commercial real estate area, I think it will become a whole lot easier and we will put that in.
Bob Ramsey: Okay. On that line of thinking, I noticed the FDIC loss share receivable went to zero on the balance sheet this quarter. I was hoping you could help me understand that and then maybe explain too. I know you mentioned the provision included $4 million for sort of clawback on previously charged-off FDIC loans. I am thinking you should get a benefit there somewhere else. If you have to pay the FDIC back, you should be recovering more on the loans. Help me think about what the offset in that piece of provision is?
Jay Sidhu: Bob, in regards to the FDIC contract, there is an overall provision for a clawback that if your performance significantly exceeds what the FDIC was expecting, they want to share in that benefit and there is no recovery that comes back from -- we are getting the recovery from the customer at this point in time in relationship to those. So what has happened to in terms of the indemnification asset was the recognition of this charge is no longer an indemnification asset but we have a net liability to the FDIC and that liability is included with other liabilities. It's not material enough for a separate disclosure.
Bob Ramsey: Okay. And so does that better loan performance, has it come through in a higher yield accretion over the remaining life of the loans? Or where is that better performance come through?
Jay Sidhu: The better performance doesn't come through any place, Bob. That better performance is that this is pursuant to the contract with the FDIC. They have a clawback. So what has happened in past period is that we have pursued, how do I say this, we have pursuant to the contract recognized the loans when we received collection and remitted the 80% portion in improvement as a liability as it comes through and that's the part that you are used to seeing and that's the part that we would have some benefit come to us and bulk of the benefit go to the FDIC. So you would see the receivable increase and you would see RPs come through as part of the collections of the loans and the decrease in the loan balance. In this particular case, with the indemnification with the clawback provision, there is no similar type recovery. It is a liability to the FDIC based upon the overall performance of the last five years.
Bob Ramsey: Okay.
Bob Wahlman: This is cleanup quarter, Bob and essentially when we did the cleanup, we realized to do it appropriately that there is nothing receivable from FDIC. We have already taken that and we now have to give 80% of the gains to FDIC. And so net net net that 80% of our deeds to FDIC are being expensed to the provision.
Bob Ramsey: Okay. I will think that through and maybe circle back if I don't quite get it. But that's helpful. Last question and I will hop out. But the FDIC expense line items showed a tremendous amount of improvement this quarter. I am curious if any of that is another sort of true-up catch-up and what we should expect in FDIC expense next quarter?
Jay Sidhu: I think Bob has mentioned to you on that, I will take it, Bob. So it's because, yes, you are absolutely right, there were some timing differences from the year end analysis that we had done but we cleaned it up. And that's why there were some recoveries to us where we had over-accrued some of our expenses but it's not material. We think within the next two quarters you ought to see that line go back to more normalized, but like professional services and some of the other areas you might see some expenses go the other way. Bottom line is that it's not material on the expense side. It's true reflection of our expenses and BankMobile expenses are also somewhat cyclical and we expect them to be greater in the second half because we started a BankMobile technologies team which as we have our own development team now. And we know that there are expenses for that as we are developing an awesome app something which doesn't exist in United States today. So those are the kind of things that we factored into our guidance given to you that expect the second half of the year our efficiency ratios to be more like 50% and still we will beat the guidance that we have given to you.
Bob Ramsey: Okay. All right. Thank you, guys. That's all helpful. I will hop back out.
Operator: We will take our next question from Sameer Gokhale with Janney Montgomery Scott.
Sameer Gokhale: Hi. Thank you. Good morning.
Jay Sidhu: It is a very good morning. I welcome you to our call.
Sameer Gokhale: Thank you. I had a couple of questions. One was again going back to this fraudulent loan that you had discussed. I know there are a lot of details you can't share at this point, but one thing I just wanted to clarify was, it seems like there was a consultant involved in referring this particular borrower to your company. And I just wanted to clarify that if I heard that correctly and is there is a sense for how many other borrowers this particular consultant may have referred? Because I think one of the concerns may be [indiscernible] pervasive?
Jay Sidhu: Let me correct this, please. There was no consultant who referred this borrower to us.
Sameer Gokhale: Okay.
Jay Sidhu: No. This is a customer of our team leader who we hired in 2011 or 2012 and in the process was contacting every single business who this person had done business with. That is how -- so we solicited this customer ourselves.
Sameer Gokhale: Okay. So then investors will probably get more comfortable with this issue, jus to make sure it's not pervasive once you actually go through a review of your policies and practices and we look at Q3. Because I think one of the concerns clearly is, could this be the case in more loans? But that's only something that probably time will tell, it seems like. So that's helpful color. The other thing I wanted to get a sense for was your preferred issuance that you did in Q2. Can you remind me what the cost was of the issuance and when in the quarter you did that issuance? And also what kind of a sense can you give us for additional preferred issuances you might be planning for over the next 12 or 18 months or so?
Jay Sidhu: First of all, we are not planning for any preferred issuance over the next 12 to 18 months at this time. Second thing is, your firm was a co-manager in that and Janney and the cost was 7.5% for the preferred. We did it in May. So our $500,000 some expense was for half a quarter and we have already factored in that expense going forward and we expect that to be totally non-dilutive to our earnings based upon the way the guidance has been given for 2015 and 2016.
Sameer Gokhale: Okay. That's helpful. As you can see the walls between banking and research are well in place at our firm in my question. But the other thing I wanted to get some color on was the CRE loan environment. Some of the larger regionals like M&T, for example, have talked about stronger demand, say, from existing customers, especially in the CRE space and in Pennsylvania. And I wanted to just get your take on what you are seeing in your key markets.
Jay Sidhu: Well, we are not much of a CRE lender. Our so-called CRE is what we call banking to high net worth families, which is principally New York-based smaller multifamily loans in the $4 million to $5 million average size range. Our average loan in the so-called multifamily category is $4.3 million right now. We don't do any big packages. We don't do buildings with elevators, et cetera. It's really the family office, all high net worth families. The portion of their assets that they have located to income producing real estate is what we do. So I may not be the best person to give you guidance on what's happening in the CRE world, but I can tell you what's happening in the high net worth families multi-owned portion of the multifamily business. It's a very high credit quality business. There continues to be in the New York competitive forces and new entrants are trying to come into this. The new entrants, however, are facing competing with the base of price. We have seen some over the last 12 months ridiculous pricing. Our pricing has and our structure has remained totally unchanged for the last 18 months. If anything, we are now with the movement of the curve a little bit and the 10 year rates a little bit are increasing our pricing gradually for our customers and that market for us is very, very attractive because we are well-known over there and we go directly to the customers besides going through some of the mortgage brokers in New York. As our C&I business I think that C&I business is getting better throughout the franchise in Pennsylvania and New Jersey, New York and New England. So unlike other banks, we are not focused on non-multifamily CRE that much.
Sameer Gokhale: Okay. Based on your commentary, you are pretty clear that doesn't sound like you are planning to ramp up within your footprint in Pennsylvania within that the CRE space either. So, okay, that's helpful color. Thank you very much.
Jay Sidhu: Thanks, Sameer.
Operator: We will go next to Don Destino with Harvest Capital.
Don Destino: Hi guys. I not sure how much more you are going to be able to tell me, but just can I ask a couple questions that have been asked in a different way and see if I can get a little more color on the fraud. Just can you give me banking 101, just the mechanical, what happens when somebody brings you a line of credit? How do you determine that that's not somebody's word-processing project and that it's an actual line of credit? Like what's the actual due diligence compliance practice within the bank if someone brought in a line of credit? Let's not say today, but let's say last week before you heard about this fraud?
Jay Sidhu: Yes. It's a letter of credit. A letter of credit is a certificate that a bank can issue saying that you can present this to us and we will be committed to give to give you cash to the issuing person. So that's what happened with this letter of credit.
Don Destino: No. I understand what a letter of credit is. My question is, if I walk into your bank with a letter of credit, how do you determine that I didn't just type it up myself?
Jay Sidhu: Yes. So the procedures are, we verify with the issuing bank whether you in fact did issue this letter of credit. We take every step to make sure that's been verified and then that's the only way we look at it.
Don Destino: So what happened when you went to the bank to get this letter credit verified all the while ago?
Jay Sidhu: Yes. It was verified that it is genuine.
Don Destino: So you don't -- I am sorry, you don't go to the back and verify that it's a legitimate letter of credit before you need it? You only go to verify it once you actually need it?
Jay Sidhu: No. We verified this before we extended the loan.
Don Destino: Okay. So, the bank verified that it was a legitimate letter of credit and then you came to collect on it, the banks went back on its previous verification?
Jay Sidhu: That is correct.
Don Destino: And it was a top 20 U.S. bank?
Jay Sidhu: That is correct.
Don Destino: Wow. That sounds -- you must have documented that they verified that it was a legitimate letter of credit?
Jay Sidhu: Of course.
Don Destino: Okay. So there is --
Jay Sidhu: There is something going on here. There is something here which you are hitting the nail on the head. It's going to be a very thorough investigation by us, okay. This is not a systemic problem. This is such an isolated, such a freak thing and if this is a fraud, the solution involved in some cases or another, all those kind of things involved over here.
Don Destino: So just to be clear, what you are saying is that it was a letter of credit that you verified its legitimacy with a top 20 U.S. bank a while ago when it was presented to you, had that documented and when you went back to that same bank, that bank said no, that's not a legitimate letter of credit, even though they had previously verified it?
Jay Sidhu: That is absolutely correct.
Don Destino: That's interesting. Okay. And then you have made it very clear that this is an isolated incident. Can just give -- I was going to ask some of the same questions that were asked previously about the industry and the type of borrower. Is it is a traditional borrower, a traditional bank borrower that you would expect to have commercial credit out with a commercial bank? Not any kind of --
Jay Sidhu: Absolutely so-called, if you consider traditional borrower as just the kind of borrower that banks serve, yes. This is not brokered loan or shared national credit or a warehouse facility or whatever. This is a big market area and I am sorry that I can't describe to you anymore about the customer because this is going to be going to the FBI.
Don Destino: Okay. Well, yes, because it sounds like the bank might be in a significant amount of trouble as well if they are verifying things and then going back on their own verification. Okay. And then last question, more traditionally, on the P&L. So, Bob, can I take it that I should go back to using kind of the $3.1 million, $3.2 million run rate for the FDIC and the other line that was down sharply in this last quarter?
Bob Wahlman: I think that would be a reasonable thing to do.
Don Destino: Okay.
Jay Sidhu: But you might see some reduction in expense in the other categories.
Bob Wahlman: Yes. That's absolutely correct.
Don Destino: Got you. Last question, why did you guys issued a guidance this morning. It seems a little reactionary. Was it just because this fraud and the stock opening low? Or were you always planning on issuing guidance right now? Or why today?
Jay Sidhu: We were planning to do leading up to conference next week.
Don Destino: Got you.
Jay Sidhu: All right. And while this situation, we just wanted to make sure that customers who were or investors who were ready to buy our stock maybe next week could have an opportunity to do it today.
Don Destino: Got it. It makes perfect sense. Thank you very much, guys.
Operator: We will take our next question from Frank Schiraldi with Sandler O'Neill.
Frank Schiraldi: Good morning. Just a couple. First on the guidance, the $2.40 to $2.50 next year. Can you give a little bit more in terms of trends that you are expecting to drive that sort of growth year-over-year?
Jay Sidhu: I think it's going to be the fundamentals, Frank. Build your loans, build your deposits, watch your cost, manage your risk, get the non-interest income up, through all the initiatives including SBA, lending initiative, continue to hire teams that hold people accountable, manage your risk and get it done. That's it.
Bob Wahlman: I think, Frank, if you take a look at what we did in 2014 and 2015, that is a repeat in 2016. As Jay was saying, it basic banking.
Frank Schiraldi: Okay. It seems like if the TCE ratio, you noted that you are still not expecting any sort of common capital raise. So the TCE ratio is going to build from here. So you are still, in terms of growth, you are bit restricted to your retained earnings growth. So I was just wondering is it more sort of margin expansion? And I guess really what I am getting at is wondering what sort of interest rate environment and what sort of increase in short term rates maybe is baked into this guidance?
Jay Sidhu: Frank, we do not take interest rate risk. And that's why it's better rates if move up. It's not going to hurt us. It's going to only help us. If the rates don't move up, it's not going to hurt us and it is not going to avoid us from reaching the guidance. Our growth rate is going to be slower next year and that's why we are confident that our capital ratios will be higher. In the past we have had 40%, 50% growth rate in earnings and now we are talking about 25%. So please, as run your model, look at it.
Frank Schiraldi: Okay. So you are talking 20% growth at a minimum next year. I mean would you be able to say if there is any, I missed, I have heard in the past year your margin guidance. Was there any margin guidance attached there? And do you expect the margin expansion from here into 2016?
Jay Sidhu: All our guidance remains the same, margin of between 2.75%. That's it. That's all we covered this morning.
Frank Schiraldi: 2.75%? Going forward?
Jay Sidhu: I would be in that range. It depends also on the quarter, but 2.75%, yes.
Frank Schiraldi: Okay. And then in terms of, you talked about the efficiency ratio perhaps being above 50% in the back half of this year, I think. I would imagine in the next year you would expect it to trend again below into the high 40s?
Jay Sidhu: Correct.
Frank Schiraldi: Okay. And in terms of just thinking about maybe some expense build, you talked about compliance, you talked about new teams coming over. If I think about you know the call it a $25.5 million expense base in the quarter, what are you thinking in terms of growth from there in the back half of the year?
Jay Sidhu: I think our expenses would be somewhere in the $27 million to $29 million range.
Frank Schiraldi: Okay. Great. And what would you think would be your best -- in terms of thinking about compliance build versus more direct revenue support in terms of new teams coming over? If I am thinking from $25.5 million to $27 million to $29 million, what sort of growth is in the compliance front versus maybe more customer facing builds.
Jay Sidhu: I think as I have stated earlier, it's going to be mainly in three areas, compliance and regulatory and then the revenue producers which is made up of teams. We have hired three teams already this year. And there is one team we expect to announce in the month of August. And they are all revenue producers. And the third thing is, which I talked about, is our continued expenditures and investments in BankMobile which we are putting zero value to, but it could be as we execute, most extremely valuable for our shareholder.
Frank Schiraldi: Okay. Was there any change to expectations on what BankMobile expenses will be for full year?
Jay Sidhu: No.
Frank Schiraldi: Okay. And then just a couple of follow-ups on the fraud. I mean just sort of follow-up to one of Don's question, is it fair to say that since this is still very new in terms of the discovery here that you know the initial verification process on the letter of credit is that still being looked into, is it possibly a breakdown in risk management? Or are you already confident that that verification did take place as it was supposed to?
Jay Sidhu: It is not a breakdown in our risk management.
Frank Schiraldi: Okay.
Jay Sidhu: I can assure you about that.
Frank Schiraldi: Okay. And then I just wanted to follow up on, I thought I heard, in terms of the -- so it's a $6 million provision, none of it's been charged-off yet and so it's all still performing, right? And $9 million loan? So you hadn't talked a little bit, I think about the collateral behind it. Could you just maybe give a little more color on what collateral is standing behind the loan?
Jay Sidhu: It's the real value behind it. That's all I can say, that it's collateral that's been verified by us, including risk.
Frank Schiraldi: Could you say if it's real estate or not?
Jay Sidhu: It includes real estate.
Frank Schiraldi: Includes real estate. Okay. And I guess the real estate included would be part of the business of this individual, commercial? Okay. All right. That's all I have. Thanks.
Jay Sidhu: Thank you, Frank.
Operator: We will take our next question from Matt Schultheis with Boenning.
Matt Schultheis: Good morning, gentlemen.
Jay Sidhu: Hi Matt. Good morning.
Matt Schultheis: A quick question on deposit growth. Can you discuss in any sort of detail what channels your deposit growth are coming from? Whether that's BankMobile? Whether that's the property management firms? Or some of the multifamily lending? So it's generally what type of customers are putting these deposits in your bank at present?
Jay Sidhu: That's a good question, Matt. It's not coming from BankMobile. We are not -- BankMobile's purpose is not to generate high rate deposits. So we have established relationships with principally the millennials and the GenX, which is tech dependent and tech savvy. So total BankMobile deposits are going to be absolutely immaterial in the first two quarters of this year. This is coming from C&I customers. This is coming from commercial customers. This is core deposits. This is not broker deposits. It's really the deposit opportunities for us has been that we continue to look at different avenues and calling on different customers, calling on all our local customers, governmental authorities and that's been the combination of government or municipal and small medium-sized businesses in our own local market area. We see huge deposit potential opportunities. We haven't added any branches yet which traditional banks do. So there is also certain seasonality to deposits. In fact, our DDAs were down on June 30. So you know they will be higher expected, based upon the past seasonality, at September 30 for next time we foresee it. So deposit generation has been a focus of ours. We want to generate more deposit, more core deposits than our loans and we are very pleased to share with you that we have achieved that goal for the last couple of quarters.
Matt Schultheis: Okay. Thank you. Most of the other question I had, have been answered already. Thank you.
Operator: And we do have final question. It comes from Dallas Salazar with Atlas Consulting.
Dallas Salazar: Yes. Hi Guys. Given the short time, I am assuming that you guys found out about this possible fraud, what gives you the confidence that the assets are valued at or around what you are exposed to? And then if you can elaborate on what is that the policy or the procedure if you do foreclose on those or get some value from those assets and then it also turns out that this was fraudulent and maybe there was some other assets you can go after? I guess I am just trying to figure out like sort of backend long dated, if everything sort of works out and you may not be able to comment, A, what led you to believe that your exposure is limited and then B, could you potentially have zero exposure? And then I will sign off. Thank you, guys.
Jay Sidhu: Okay. I think it is the prudent thing to do, in our opinion, under these type of circumstances, is to take a conservative view. And that's essentially that we took. We looked at our collateral with very conservative valuation of all our collateral. We looked and then we assumed no improvement in the business. We assumed absolutely no market value appreciation whatsoever in this customer's business. If you talk to the customer, that customer believes that there has been no deterioration at all in their business plan. We took the view that there has been a tremendous, significant deterioration in their business plan. So the chances of our coming back and saying, it's $8 million as of right now, zero. All right. The chances of our coming back and saying, guys, it wasn't fixed are higher. So with that any more questions, Tom?
Operator: We have no more questions in the queue, Mr. Sidhu. I will turn the call back over to you for any closing comments.
Jay Sidhu: Yes. Thank you very much, ladies and gentlemen for taking the time with us once again. We hope to see some of you at the KBW Conference next week. We will be there and we are very optimistic and we regret that this fraud happened. We take responsibility for it and we will be investigating it further and then see any questions you may have about it during the third quarter call. Thank you so much.
Operator: And ladies and gentlemen, this does conclude today's conference. We appreciate your participation.